Operator: Welcome to the Q4 2009 NiSource earnings conference call. At this time all participants are in a listen only mode. We will conduct a question and answer session towards the end of this conference. (Operator Instructions) As a reminder this conference is being recorded for replay purposes. I would now like to turn the call over to your host for today, Glen Kettering, Senior Vice President Corporate Affairs.
Glen L. Kettering: On behalf of NiSource I would like to welcome you to our quarterly analyst call. Joining me this morning are Bob Skaggs, President and Chief Executive Officer; Steve Smith, Executive Vice President and Chief Financial Officer; and Randy Hulen, Director of Investor Relations. As you know the focus of today’s call is to review our fourth quarter and yearend 2009 financial performance, share key accomplishments by our teams during 2009 and provide you with some insight on the upcoming year. We will then open the call to your questions. At times during the call we will refer to the supplemental slides available on our website at www.NiSource.com. I’d like to remind all of you that some of the statements made on this call will be forward-looking statements within the meaning of the Safe Harbor provisions of the US federal securities laws. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Information concerning factors that could cause actual results to differ materially is included in the managements’ discussion and analysis section of our Form 10Q quarterly report for the third quarter of 2009 which was filed October 30, 2009 with the SEC. Our annual Form 10K will be filed in late January. Now, I’d like to turn the call over to Bob Skaggs.
Robert C. Skaggs, Jr. : We have several important matters to address this morning after which we’ll open the call to your questions. In my prepared remarks I’ll be addressing NiSource’s fourth quarter and full year 2009 earnings, a number of highlights and key accomplishments across our businesses during 2009 and finally our earnings outlook for 2010. Let’s start with NiSource’s 2009 financial results which were solidly in line with our full year operating earnings outlook of $1.00 to $1.10 per share. I would add that year-over-year cash flows from operating activities increased by more than $1 billion. In short term borrowings at yearend 2009 were more than $1 billion lower than at yearend 2008. We’ll touch more on our liquidity position in a few moments. Given the unprecedented dislocations in the financial markets and challenging economic environment across our markets by virtually any measure NiSource not only weather the storm during 2009, we emerged as a stronger and more robust company. For 2009 we achieved non-GAAP net operating earnings of approximately $295 million or $1.07 per share. Operating earnings for the year were approximately $880 million. For the fourth quarter our net operating earnings again, Non-GAAP were approximately $99 million or $0.35 per share. I’d submit that our teams’ ability to deliver on our financial commitments in the face of the great recession underscores the resilience of our core regulated businesses and is a testament to the teams’ disciplined execution. In addition to aggressive cost management across all our business units during 2009, we increased net revenues in both our gas distribution and gas transmission and storage businesses. At NiSource gas distribution net revenues excluding regulatory trackers increased about $70 million during 2009 primarily attributable to the team’s extensive array of regulatory initiatives. In our gas transmission and storage unit the team delivered approximately $56 million in increased net revenues excluding regulatory tractors resulting from growth projects, short term transportation and storage services and mineral rights leasing. As expected, these improvements were more than offset by three key items we’ve discussed with you throughout the year: increased pension expense; reduced electric industrial demand; and incremental expense. With respect to pension expense we experienced an increase of $85 million over 2008 levels. This increase is net of the impact of the deferral of about $11 million in pension expense by Columbia Gas of Ohio which we discussed in prior earnings updates. Although we saw a modest uptick in electric industrial demand in the third quarter, for the year electric industrial demand was lower by 17% compared to 2008 levels. As for interest costs, they increased by about $24 million over 2008 levels primarily resulting from the pre-funding of debt maturities under our liquidity plan. So to wrap up, despite a tough economic climate across our markets, the NiSource team delivered a strong earnings performance in 2009. One, that we’ll build on as we move forward in 2010. Now, let me turn to our liquidity and refinancing activities. Throughout 2009 we emphasized that maintain adequate liquidity and successfully managing upcoming debt maturities were key priorities. We outlined an aggressive and comprehensive liquidity plan and our business units and our finance team did an outstanding job of executing that plan. Capital expenditure levels were recalibrated, operating expenses and working capital managed aggressively and we successfully completed approximately $2 billion in debt refinancing with a capstone being our $500 million long term debt issuance during the fourth quarter. As a result of those efforts we’ve now addressed our long term financing needs through 2011 and we entered 2010 with a significantly stronger liquidity profile. As shown on the supplemental slides NiSource closed 2009 with excess liquidity of more than $1 billion and we expect to have excess liquidity of more than $500 million at year end 2010. Plus, you’ll recall that we have a $1.5 billion revolving credit facility that extends to July 2011. All of these activities were essential elements of NiSource’s commitment to maintaining our investment grade credit rating in a manner that also preserves shareholder value. On that front, we were pleased when in December Moody’s acknowledged the significant progress the team has made over the course of the last few years affirming NiSource’s investment grade credit rating and raising its outlook to stable. A few weeks later Fitch affirmed its rating of BBB- with a stable outlook. We now have stable investment grade ratings for each of the three rating agencies and we’re committing to maintaining and strengthening those ratings over time in a manner that also enhances shareholder value. Now, let me turn to our business update and a look at how the team is delivering our balanced strategy for delivering long term sustainable growth. Our four part strategy continues to center on the expansion and commercial growth of our natural gas pipeline and storage business, regulatory and commercial initiatives of our utilities and the strong financial process and expense management across the corporation. First let me turn to our gas distribution business where we continue to see strong results from our regulatory and infrastructure investment initiatives. During the fourth quarter Bay State Gas company received a favorable rate case order from the Massachusetts Department of Public Utilities authorizing an increase in annual base revenues of approximately $19 million or 3.7%. Also approved was a revenue decoupling mechanism, the first of its kind in Massachusetts along with a tracking mechanism to recover costs associated with Bay State’s infrastructure replacement program; truly a breakthrough effort by the Bay State team. Columbia Gas Kentucky also received approval from the Kentucky Public Service Commission of a unanimous rate case settlement during 2009. The settlement provided for overall annual increase in revenues of approximately $6 million or 3.7% while authorizing an increase to the monthly customer charge, the implementation of an accelerated main replacement program tracker and the introduction of a residential energy efficiency program. Also, Columbia Gas Virginia received approval from the State Corporation Commission for its conservation and rate making efficiency or CARE plan for a three year period through 2012. The CARE plan which came effective last month establishes a decoupled rate mechanism along with customer energy conservation incentives. Late last week Columbia Gas of Pennsylvania filed a base rate increase request with the Pennsylvania Public Utility Commission. That filing proposes new home energy efficiency programs and a more progressive rate design along with an increase in base rates of $32 million annually that reflects our ongoing infrastructure replacement program. The case also reflects a tracker program in the event enabling legislation is enacted. New rates in Pennsylvania are expected in the fourth quarter of 2010. Last and certainly not least, as we indicated on prior calls our Northern Indian Utility NIPSCO plans to file a natural gas rate case, the company’s first since 1987 as early as March this year with new rates anticipated in late 2010. From an earnings standpoint our gas distribution businesses reported 2009 operating earnings of about $329 million slightly above its $328 million in operating earnings for 2008. As I mentioned earlier, net revenues excluding the impact of regulatory and trackers increased about $70 million. Those gains include offsets from decreased customer usage and lower off system revenues. Operating expenses excluding trackers were up about $69 million for the year reflecting higher employee and administrative costs, depreciation costs and uncollected accounts. The higher employee and administrative costs were primarily due to increase in pension expense of almost $32 million net of the Columbia Gas of Ohio deferral I mentioned earlier. Throughout 2009 our gas distribution teams continued to build on their excellent track record of execution. This ongoing progress is a testament to our commitment to building creative and collaborative regulatory solutions that benefit customers and ensure a safe and reliable distribution system. Turning to our gas transmission and storage business, the team is continuing to make significant progress in maximizing the value of our strategically positioned pipeline and storage assets with a particular focus on advancing projects that support the unprecedented supply growth taking place in the Marcellus Shale play in Appalachian. The NGT&S team is working closely with key natural gas producers, processors and other industry players to develop the infrastructure needed to bring Marcellus supplies to market. By the close of the year NGT&S was advancing more than $155 million of projects in the Marcellus Shale region with the potential to provide an additional 700,000 dekatherms per day of market access. As we move forward in 2010 we’ll be announcing additional expansion projects in the Marcellus area. One of our key Marcellus projects in 2009 was the Appalachian expansion project which was placed in to service in the second half of the year. The project leveraged our existing infrastructure to provide about 100,000 dekatherms per day of new transportation service to three key Appalachian producers. Another important Marcellus launched by the NGT&S team in 2009 is the Majorsville project that’s located in the southwestern Pennsylvania West Virginia region, a Marcellus sweet spot. Over the next several years this project will be providing gathering, processing and transmission services to several leading Marcellus producers anchoring the project. NGT&S is partnering with MarkWest Energy Partners which is making significant investments to provide midstream services for those Marcellus producers. Yet another 2009 highlight was the Ohio storage expansion project which increased market area storage capacity by almost $7 billion cubic feet. Notably NGT&S received FERC authorization for market based rates for the project, the first time we’ve received such approval for our traditionally cost base storage operations. With our strategy NGT&S footprint, our system capabilities and our disciplined investment strategy NiSource is capitalizing on the unprecedented producer investment in the Marcellus region as well as additional new storage and transportation business opportunities across our system. From an earnings standpoint, gas transmission and storage reported operating earnings of $408.8 million in 2009 compared to $376.7 million in 2008. The increase resulted primarily from the $56 million in increased net revenues I mentioned earlier. Those revenues were primarily attributable to increases in firm capacity reservation fees from growth projects and new Appalachian supply contracts as well as increases in shorter term transportation and storage services and mineral rights leasing revenues. Equity earnings were up $3.7 million attributable to increased earnings from the Millennium Pipeline. Those increased earnings more than offset an $8.1 million reduction in equity earnings resulting from interest rate hedges related to Millennium’s decision to delay permanent financing until 2010. Operating expenses increased by about $28 million excluding trackers due to higher capacity lease costs, employee and administrative costs, maintenance costs and environmental expenses. In addition, 2008 operating expenses were favorably impacted by the reduction of legal reserves. Now, let’s turn to our electric operations. As I noted earlier our Northern Indian electric market has been under continuing pressure from the economic down turn. In facing those challenges NIPSCO has nevertheless continued to make steady progress on its aggressive regulatory and business agenda. Notably, our operational efforts have been gaining traction. In particular I’d note that NIPSCO’s electric generation reliability metrics improved significantly during 2009 and for the year were above industry average levels. Regulatory wise, as you know throughout 2009 our NIPSCO teams continued to advance the company’s 2008 electric rate case. Parties to the case completed the briefing process last month and the Indiana Utility Regulatory Commission or IURC is expected to issue a order in the case during the first half of this year. As previously announced NIPSCO intends to file a subsequent electric base case during 2010. The filing will reflect the effect of increased pension expense as well as demand levels based on more recent market conditions. New rates from this case are expected to be effective in 2011. From an earnings standpoint, electric operations reported operating earnings of about $162 million for 2009 compared to about $220 million in 2008. Lower net revenues and higher operating expenses both contributed to the lower operating earnings. Excluding regulatory trackers, net revenues as mentioned previously decreased by $17 million primarily as a result of lower industrial usage, off system sales, emission allowance sales and Sugar Creek revenues. These revenue decreases were partially offset by lower non-recoverable purchase power costs. Operating expenses increased by $40.7 million excluding trackers due primarily to higher pension expense of $42.6 million. Although 2009 was a challenging year for NIPSCO, as we look forward to 2010 and beyond I’m convinced that we have a solid regulatory and business plan to restore NIPSCO’s earnings space and position it for sustainable long term growth. Executing on that plan is a key priority for NiSource this year. Interest expense as I noted earlier increased by about $24 million primarily due to the issuance of $700 million of long term debt in May of 2008, $600 million of long term debt in March 2009 and the $385 million two year term loan issued in April of 2009. Those increases were partially offset by $100 million open market debt repurchase in January, our $250 million tender offer debt repurchase in April and by lower short term interest rates. Our effective tax rate was 38.6% compared to 35.8% for the same period in 2008. The 2009 tax rate is higher due to deferred income tax adjustments related primarily to state income tax apportionment changes and an increase in tax expense related to AFUDC equity. On a GAAP basis NiSource reported income from continuing operations for 2009 of $231.2 million or $0.84 per share compared with $370.6 million or $1.35 per share in 2008. Operating income was $801.9 million for 2009 versus $918.7 million in the year ago period. Schedules one and two to our earnings release list items included in GAAP income continuing operations but excluded from net operating earnings for NiSource in each of the segments reported today. As you’ll see weather adjustments and restructuring costs at our NGT&S operations are the primary reconciling items. Turning to our 2010 earnings outlook, as noted in this morning’s press release we expect to deliver sustainable earnings growth of 3% to 5% on a long term basis driven by our core strategy of synchronizing ongoing infrastructure investments with appropriate regulatory and commercial activities. If you refer to the key market slide included in our supplemental materials, you’ll see the key points of execution for our company’s over the course of 2010. In general, we’ll be focusing on three areas: first, advancing growth projects in our gas transmission and storage business; second, executing on our infrastructure replacement programs and related regulatory initiatives at our gas distribution unit; and third, completing the NIPSCO repositioning process. In terms of financial performance for 2010 we’re projecting non-GAAP net operating earnings to be within a range of $1.10 to $1.20 per share. Some of the key drivers for our outlook are reflected in the first slide in the supplemental materials. Among other things, you’ll note that the outlook assumes a gradual and modest pace of economic recovery across the markets we serve building on the trend we experienced during the latter half of 2009. I’d also note that thanks to the successful execution of our liquidity plan during 2009 and our deep inventory of revenue producing investment opportunities we’re increasing our capital expenditure level to $900 million in 2010. That’s about $100 million increase over the 2009 level but below the $1.3 billion plus level of 2008 which you’ll recall included our $330 million purchase of the Sugar Creek gas fire generating plant in Indiana. We’re certainly pleased that we’re in a position to begin increasing our capital investment program this year. However, as I’ve mentioned in the past I believe that the optimal cap ex level for NiSource is about $1 billion annually given the array of attractive investments available to our business. To achieve that investment level on a sustainable basis as well as maintain our dividend and our commitment to our investment grade credit rating will require continued execution of our business plan and ongoing strengthening of our balance sheet. To wrap up, NiSource’s overall business and financial performance remains squarely in line with our business plan and although we have much more to accomplish our teams continue to demonstrate their commitment and ability to execute on that plan. The landscape we face today is much more stable and less treacherous than the one we encountered a year ago. That said, 2010 will undoubtedly present it shares of challenges. As we confront those challenges and continue the work of building and growing NiSource, I’m convinced that we do so as a stronger company, one with a business plan that is compelling, balanced and tested. As always, we remain committed to communicating with our investors in a transparent and timely manner regarding these and all of our efforts. Ongoing updates will be provided through our analyst calls and news releases posted on our www.NiSource.com. Thank you for participating today and for your continued interest in support of NiSource. At this point I’d like to open the call to questions.
Operator: (Operator Instructions) Your first question comes from Paul Ridzon – Keybanc Capital Markets.
Paul Ridzon – Keybanc Capital Markets: You talked about $1 billion optimal cap ex, where do you see the trajectory as to when you could get there again?
Robert C. Skaggs, Jr. : Well, Paul we’re going to be measured. Certainly we believe we have a pipeline of promising opportunities at all of the business units. But, to begin stepping towards a billion we’re going to have to do it on a measured base. We’re going to make sure that the investments are worthy investments to meet the test of being accretive ,they’re going to have to meet the test of being treated favorably in the regulatory environment and we’re going to have to balance sheet to support those sorts of investments. So again, we’re going to do it on a measure basis, we’re going to do it mindful of our commitment to the dividend, mindful to our commitment of investment grade and mindful that we want to ensure that we create shareholder value so it’s going to be on a measured basis.
Paul Ridzon – Keybanc Capital Markets: In your 3% to 5% EPS growth seems like a bit of deviation to prior language of look to flattish for the next few years. Is that 3% to 5% going to be lumpy at all or can we just kind of think more or less smooth 3% to 5%.
Robert C. Skaggs, Jr. : The goal is smooth 3% to 5% and again, we believe what we put in place at the regulatory and commercial pillars to support that.
Paul Ridzon – Keybanc Capital Markets: Then what’s your outlook for when in ’11 you could possibly get new Indiana electric rates?
Robert C. Skaggs, Jr. : Assuming we file the electric rate case midyear 2010 we certainly believe the case is going to take 12 months, could possibly take 18 months. Hopefully it’s going to go at a faster clip than the current case but, I would say 12 to 18 months is when we expect an outcome.
Paul Ridzon – Keybanc Capital Markets: Then on your GAAP reconciliation there’s some reference to non-regulated marketing, can you just give some background as to what that is?
Stephen P. Smith : That is the dollars associated with our unregulated marketing subsidiary that we’re moving out of.
Paul Ridzon – Keybanc Capital Markets: So it’s kind of discontinued ops?
Stephen P. Smith : Yes, more or less.
Operator: Your next question comes from [Natalie Berkhard] – Allstate.
[Natalie Berkhard] – Allstate: I just had a couple of questions, one is have you begun negotiations with the banks to extend out the revolver yet?
Stephen P. Smith : We are very happy with our revolver, as you know it doesn’t expire until July of 2011. So, we haven’t officially started talking to the banks that are in that facility but we are mindful of any opportunities that might present themselves between now and then to work with them and perhaps extending that prior to the actual expiration date.
[Natalie Berkhard] – Allstate: But do you feel like there shouldn’t be too many issues to be able to keep the facility at the size you have it at right now?
Stephen P. Smith : Well, I think as the market moves forward month-after-month we’ve seen the credit market get stronger and it appears as though rolling over working capital facility shouldn’t be too challenging. The question as to do you need the full $1.5 billion or not and we’re in the process of working through the analysis there to make sure that the facility is the right size for our needs going forward.
[Natalie Berkhard] – Allstate: Then on the balance sheet you have the current maturities of let’s call them $700 for the November notes and then with the December issuance, I just want to make sure that this is right, that because the revolver is down close to $1 billion from last year that you basically used the December proceeds to keep the balance low on the revolver.
Stephen P. Smith : That’s exactly right Natalie. We basically took all the spare liquidity we had generated through the balance of 2009 and paid down the revolver. You’ll see in the 2009 balance sheet we were only carrying a borrowing position around $100 million so we paid off a significant amount of what was outstanding on that revolver.
[Natalie Berkhard] – Allstate: That cash typically comes back in second quarter?
Stephen P. Smith : Yes, I mean it flows in over the course of the year. Our biggest quarters from an earning respective are the first quarter and the fourth quarter so we’ll start to see dollars flow in as a result of people burning gas in the winter and getting billed and paying those bills here in the first and second quarter.
[Natalie Berkhard] – Allstate: Just last question, if you can kind of just comment on industrial in the fourth quarter and then what trends you saw just again just kind of maybe put this in to perspective which is looking at what happened in Florida and the rate case there. There’s the concern there that for them clearly the issues with the rate cases down in Florida were based on a challenging economy down there and we know that Northern Indiana is not quite doing well. So if you can kind of just talk about the trends in industrial and then how you see that potentially changing or if anything has changed at all that could negatively impact the rate case as we’re still waiting on that?
Robert C. Skaggs, Jr. : On the industrial side we have just seen a very, very modest uptick during the fourth quarter particularly in northwest Indiana and speaking to the steel and steel related lows, just very marginal improvement fourth quarter over third quarter. As I mentioned, the outlook assumes just very, very modest recovery. We just don’t see a lot yet Natalie. Some of the key indicators in the Steel industry would suggest improvement but again, we haven’t seen that. A couple of the indicators I would cite were lower inventories, some firming of pricing, that sort of thing but again we just haven’t seen it translate in to a significant upward moving in demand? How that might impact the regulatory process, at this point the record is closed on the first case in Indiana. We know that the Commission will deliberate very carefully and do their diligence on the record but we believe that the commission will proceed based on the record that we presented to them. I would observe from a far, and this is very much from afar that the process in Florida has been politicized to a great extent. Again, we believe that the Indiana Commission is balanced, measured and they’ll make a reasonable decision based on the record.
Operator: Your next question comes from Jay Dobson – Deutsche Bank.
Jay Dobson – Deutsche Bank: A quick question or a couple actually, first on the NGT&S business, Bob in your comments you were I think ending the year something like $155 million or so of cap ex going in to ’10 and then you mentioned additional projects. Should we interpret that as some upward bias to the $300 you’re showing as cap ex for the NGT&S business on slide seven?
Robert C. Skaggs, Jr. : Number one, the $155 million I mentioned were Marcellus related projects that are in process so some of those dollars were being spent last year, some of those dollars continue on and clearly the intent was to show you we are very active in the Marcellus region and we expect to be. Again, I mentioned that we will be announcing additional Marcellus projects as the year unfolds. At the moment we see the $300 as being good for 2010 clearly though it’s a competitive business, projects do surface, opportunities do arise that could move that number up but it’s very situational and again we’ll be disciplined and thoughtful when we look at those opportunities.
Jay Dobson – Deutsche Bank: So I completely understand those additional projects that you’re talking about some of them have a place holder in there so we shouldn’t assume you announce a new project that necessarily the $300 goes up, there may be some place holders in that is situational around what the exact dollars may be?
Robert C. Skaggs, Jr. : That’s accurate.
Jay Dobson – Deutsche Bank: As you’re thinking about all those projects I know on the last call you mentioned I think you used the term the MLP was off the table temporarily as a result of valuations. We’ve seen those valuations snap back, as you look at the Marcellus and the opportunities up there for the NGT&S business your current thinking on MLP?
Robert C. Skaggs, Jr. : We clearly are observing the recovery of that market. Clearly, we’ve noted what Williams has done so we continue to look at that as a potential tool. It might augment, supplement, enhance some of the things that we’re doing. We haven’t made a decision to go in that direction yet, we will continue to watch it very carefully and ensure that we do the right thing.
Jay Dobson – Deutsche Bank: How would you have us think about that opportunity? Is that driven by increasing opportunities in Marcellus or NGT&S that we would start to see $300 go up further that would drive your decision on the MLP or is it simply just the economics of the market around MLPs and the like?
Robert C. Skaggs, Jr. : I think it’s a broad set of considerations. I think frankly though the last point you mentioned is probably one of the key points but there are many, many other points. Again, I’ve talked about our commitment to enhance shareholder value but also the commitment to improve the balance sheet. Clearly MLPs impact those commitment differently and there is certainly also an element of governments that’s involved so a broad array of considerations. I think probably the last one you mentioned, cost of capital, ease of financing, those are points that weigh heavily.
Jay Dobson – Deutsche Bank: Two other questions, first on your slide three the walk across ’09 to 2010 you have a -$0.05 other, I didn’t know if there was some granularity in there. I’m sure there are a bunch of nits and nats but if you can give us any visibility in to that figure?
Stephen P. Smith : The bulk of that $0.05, $0.03 to $0.04 is pension expense.
Jay Dobson – Deutsche Bank: Then Steven while I’ve got you, I noticed the tax rate ticked up in the fourth quarter and sort of ended up pushing the full year to almost 38.5%. Where would you have that be for 2010?
Stephen P. Smith : I would say a bit lower than 38%.
Jay Dobson – Deutsche Bank: Approaching on the 36% you had last year?
Stephen P. Smith : Yes I would say that’s a good estimate.
Operator: Your next question comes from Carl Kirst – BMO Capital Markets.
Carl Kirst – BMO Capital Markets: Actually, most of my questions hit, maybe just a couple of clarifications if I could on the 2010 guidance and understanding you really can’t say much with respect to the NIPSCO but just to be clear is there an assumption of this NIPSCO rate case baked in the regulatory initiatives in to the 2010 guidance or are we treating that as a separate item to be addressed once it is resolved?
Robert C. Skaggs, Jr. : We’ve attempted to reflect that in the guidance. We’ve consistently said that the outcome we’re modeling is middle of the road so nominal impact on 2010 but it’s not separate and apart from the guidance we’re giving you.
Carl Kirst – BMO Capital Markets: Then second on that walk across to 2010 the other question and you may have already mentioned this while I was taking down notes, the -$0.10 from what looks like depreciation and other taxes what is specifically driving that, is that coming from cap ex?
Robert C. Skaggs, Jr. : That’s exactly what it is, it just reflects the increase cap ex spend that we’ve been incurring.
Operator: Your next question comes from [Tom O’Neil – Green Harold].
[Tom O’Neil – Green Harold]: Just a couple of questions on 2010 just in terms of what is assumed, is it possible just to lay out what industrial sales level you’re assuming and then what NGT&S optimization you’re assuming versus the $56 million in 2009?
Robert C. Skaggs, Jr. : I won’t go in to detail Tom at this point but let me just reiterate that the industrial load just reflects a very, very modest recovery or improvement year-over-year. When I say modest I mean modest. The other part of the question was?
[Tom O’Neil – Green Harold]: NGT&S versus 2009?
Robert C. Skaggs, Jr. : It reflects a solid year, not as strong as last year but certainly a solid year.
[Tom O’Neil – Green Harold]: More in line with history prior to this year?
Robert C. Skaggs, Jr. : A bit closer.
Operator: Ladies and gentlemen this concludes all the time we have for questions today. I would now like to turn the call back over to Mr. Bob Skaggs for closing remarks.
Robert C. Skaggs, Jr. : Again, we want to thank everybody for your participation in this morning’s call, your interest in NiSource and your support of our company. We appreciate it. Have a good day.
Operator: Ladies and gentlemen this concludes the presentation for today’s conference. You may disconnect and have a wonderful day.